Operator: Greetings and welcome to CorEnergy's First Quarter 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to turn the conference over to your host, Lesley Schorgl, Manager of Investor Relations. Thank you. You may begin.
Lesley Schorgl: Thank you for joining CorEnergy Infrastructure Trust first quarter 2018 earnings call. On today’s call, we have David Schulte, CEO and President; Rick Green, Executive Chairman; and Nate Poundstone, Chief Accounting Officer as well as other members of our senior management team. As a reminder, the presentation materials for this call, as well as information included in our press release issued Tuesday, and an audio replay of this conference call will be available on CorEnergy’s website. The statements made during the course of this presentation that are not purely historical may be forward-looking statements and are subject to the Safe Harbor protection, available under the applicable securities laws. Important factors that could cause actual results to differ materially from those in the forward-looking statements are discussed in our filings with the SEC. These documents are available on the Investor Relations section of our website. Other than as required by law, we do not update our forward-looking statements. Reconciliations between GAAP and the non-GAAP results, which we discuss on this call, can be found in our related earnings release and 10-Q filing. President and CEO, Dave Schulte, will now speak to you about CorEnergy’s first quarter and recent events.
David Schulte: Thank you, Lesley and good afternoon to everyone joining us today. In the first quarter of 2018, your management team has been focusing on job one, which is maintaining and enhancing our current portfolio as well as actively pursuing acquisition opportunities, which fit our criteria. Our recent highlights are on slide three. Last week, we declared our 11th consecutive $0.75 common dividend for the first quarter of 2018. The dividend will be payable to shareholders of record on May 17th. Since the purchase of the minority interest in our Pinedale asset from Prudential in December, the market pricing of both ultra-petroleum’s bonds and equity have traded off, but we believe this reflects an expectation of lower cash flow as a result of realized and forward prices for Rocky’s gas. However UPL’s active, horizontal drilling results are reported as economic, even at lower realized prices and the utilization of our liquids gathering system remains at robust levels. CorEnergy continues to receive participating rents, which we contribute to increase the dividend coverage. Since emerging from bankruptcy in December of 2016, Energy Gulf Coast management has undertaken task of realigning costs and developing efficiencies. We announced yesterday that CorEnergy has offered to enter into discussions with our tenant last week to possibly assist in continued recovery efforts. But traditionally, we've expressed that any potential solution accommodating tenant distress would need to preserve the present value of our assets. CorEnergy intends to analyze a number of options, including a potential lease restructuring, provided it's in the best long term interest of our shareholders. Now, as part of our normal monitoring process, we have continued to assess and review the GIGS pipeline operations and we maintain our conviction around the value of these reserves and the critical role the GIGS serves in accessing that value. Finally, we continue to move forward with the preparation of our MoGas FERC rate case, which we anticipate filing in the second quarter of this year. We'll update the market as we have more concrete developments within our portfolio. Nate will now walk you through our financial performance for the first quarter.
Nate Poundstone: Thank you, Dave. On slide 4, you can see our quarterly financial metrics. Our diluted net income, NAREIT FFO and FFO adjusted for securities are higher sequentially, largely due to the increased income tax expense back in the fourth quarter associated with the impacts of tax reform. Each of our earnings metrics displayed, including AFFO was impacted in the first quarter by adoption of the new revenue recognition accounting standard. While the majority of our revenue was not impacted under the new guidance, revenue from MoGas’ long terms contract with Spire, which has the downward revision in rates starting in November of this year, is required to be recorded ratably over the contract’s 13-year term on a straight line basis. Previously, we had recognized revenue from this contract as it was invoiced. For the first quarter, this resulted in a $990,000 deferral of revenue for amounts invoiced in excess of straight line recognition, which has the effect of reducing each of our earnings metrics, including AFFO. As a result, our AFFO coverage ratio to dividends for the quarter declined to 1.35 times, which after adjusting our prior target coverage ratio of 1.5 times for the nearly $1 million impact of the straight line revenue change, is approximately in line with where we want to be in order to maintain a conservative coverage to reserve for debt repayment, ARO funding and capital reinvestment activities. Turning to slide 5, you'll see that CorEnergy's capital structure remains largely unchanged from year end. Our total debt to total capitalization ratio is at the low end of our target range at 25% and there remains some capacity to issue additional preferred shares as we are currently under our target of 33% preferred to total equity. Our credit facility is borrowing base driven and while we have 142 million of availability at quarter end, we will continue to prudently manage its utilization, considering the status of our borrowing base assets and potential uses for growth. We have access to diversified pools of capital, using our existing financial tools as well as potential for co-investors and project level debt, which allows us to actively pursue business development opportunities in almost any market environment. We currently believe it is in our best interest to conserve our liquidity to put towards a future acquisition. With that, I’ll turn it back over to Dave to speak to market sentiment and our 2018 initiative.
David Schulte: Thank you, Nate and we are frequently asked about how the energy market conditions affect our ability to source deals. On slide six, we show the results of the survey by the law firm Haynes and Boone, which they conduct twice a year, asking energy companies and their capital and service providers how they anticipate their borrowing base redeterminations and capital requirements to be handled in the upcoming months. The latest survey results were issued in early April and the chart included here depicts how producers expect to address capital needs in 2018. Now private equity in some capacity or another accounts for nearly 40% of expected sources of incremental capital. Now, for suitable assets, which may also qualify for private equity, CorEnergy can provide a longer duration and lower cost of capital to energy companies. Producers’ discipline of funding drilling within their operational cash flows also confirms the Haynes and Boone data and that the current environment is conducive for CorEnergy. We believe that current environment has resulted in increased referrals and inquiries from intermediaries, regarding owners of suitable infrastructure assets and our business development team is actively evaluating a number of potential assets, which could satisfy our criteria. On slide 7, we summarize the key initiatives we are focused on in the upcoming months, which were addressed today and in our year-end call a few weeks ago. I would now like to open the line for questions.
Operator: [Operator Instructions] Our first question is from Michael Zuk with Oppenheimer.
Michael Zuk: Could you give us a little bit more color on where we are with the Fort Leonard Wood contract situation?
David Schulte: Sure. I'd like Rick Green to answer that question. Rick?
Rick Green: If you're talking about the UNESCO thing, we're still -- it's all ready to be signed. It's just actually get them to put pen to hand. So we still expect it and it should be soon, but just don't have a definite time on that.
Michael Zuk: Yeah. Because it looks like it's been postponed for two or three months here. Are we caught in bureaucracy, a mousetrap or something with it?
Rick Green: I think that's – Mike, the process just takes a little longer. We're not concerned about it or anything like that, deposit just takes a little longer.
Michael Zuk: And then can you give us an update of where we are with Zenith Energy up in Portland.
David Schulte: Sure. We’ve spent a fair amount of time with Zenith and including a personal visit to Portland with their senior personnel and they are, I still believe and continue to believe, interested in retaining access to and control over that terminal. They've had a lot on their plate since the acquisition and have even announced a further acquisition since the ARC Logistics transaction and so they're taking the full measure of time that they can to make any final plans and determination. So we would expect to have some resolution of that either by them acquiring the terminal or extending the lease later this year.
Michael Zuk: Are there any time deadlines for them to make a decision?
David Schulte: We did extend the decision point six months from the end of February to the end of August, I believe. And at that point, they would need to make a decision unless there is some continued uncertainty and we would give them more time and extension. I mean, they’re current in our lease payments. They are a terrific commercial team. We're very fortunate to have them putting their shoulder to the wheel on evaluating the long term opportunities for this term loan.
Michael Zuk: So the bottom line is, if they do initiate that they want to purchase the terminals, there will be some sort of a transaction that will give us cash for turning over that property. Is that the way it would work.
David Schulte: That's right, Mike and that was structured at the very beginning of the lease that every five years, there would be an opportunity for the tenant to buy out the lease at a set price. That's correct.
Michael Zuk: Okay. So bottom line is, we won't lose any money, but we may lose a good business opportunity.
David Schulte: That’s -- we're hopeful to keep the good business opportunity and a good customer relationship. I'm not spoke about the five years, once it triggered, it still rolls. They have an option to purchase that has been triggered and could be exercised at any time.
Michael Zuk: I got you. And I take it that there are a number of situations that you are undergoing evaluation on right now and that sometime in the next several months, you may be making a decision to enter into a transaction. Is that just a reasonable expectation?
David Schulte: That is a reasonable expectation. The economic backdrop we feel has been conducive to us, seeing more opportunities and this year, we've got a very full robust pipeline of opportunities and I continue to believe we will have a transaction to announce this year, one, maybe two.
Michael Zuk: Well, my admonition is stick to your guns with regard to the returns that you need and if it takes a little bit more time, so be it, but we shareholders are out here and leaving these decisions in your good hands. So don't panic and do a deal just to be doing a deal. That's my take.
David Schulte: Thanks very much. That's a sentiment shared widely among our team, our board of directors and I'm sure all of our investors. Thank you, Michael.
Operator: Our next question is from Selman Akyol with Stifel.
Selman Akyol: So appreciate everything you're saying about evaluating deals and taking a look at things. Can you just talk a little bit about, I guess, your professional fees that you're incurring seem to be running higher than we would have expected. I presume the two are linked, but is there any color you can add?
David Schulte: We did deep dive evaluations on five different transactions in the last 12 months. That does tend to result in higher fees, so the deep we are in a transaction, the more experts, whether it's legal or engineering experts we engage to confirm our initial assessments and it's painful to have to walk away from a fee situation like that, but as you know, we think it's prudent if we do so and that would be the explanation.
Selman Akyol: Okay. And then I guess in terms of preparing for your upcoming rate case. Any kind of additional color you can be offering up there in terms of what filing for or I guess is there any talk, I guess, with your customers at all potentially reaching a settlement or anything being just -- any additional color I guess?
David Schulte: There really isn't at this point in time. As we said, we're going to file by the end of the second quarter. So I think you'll see in the coming weeks we'll be prepared to talk more about it as we take steps and we'll be able to be more specific with answers to those kind of questions.
Operator: [Operator Instructions] There are no further questions. At this time, I’d like to turn the call back to Dave Schulte for closing comments.
David Schulte: Thank you everyone for your attention. I think we feel good about the possibilities that are in front of us this year that we've identified in this call and in our prior calls and we'll stay as busy as we can, continuing to diversify our portfolio and thanks again for your interest.
Operator: This concludes today's conference. You may disconnect your lines at this time and we thank you for your participation.